Operator: Good day, ladies and gentlemen, and welcome to the Axcelis Technologies call to discuss the company's results for the Third Quarter 2025. My name is Brittany Morgan, and I will be your coordinator for today. I would now like to turn the presentation over to your host for today's call, David Ryzhik, Senior Vice President of Investor Relations and Corporate Strategy. Please proceed.
David Ryzhik: Thank you, operator. This is David Ryzhik, Senior Vice President of Investor Relations and Corporate Strategy. And with me today is Russell Low, President and CEO; and Jamie Coogan, Executive Vice President and CFO. If you have not seen a copy of our press release issued earlier today, it is available on our website. In addition, we have prepared slides accompanying today's call, and you can find those on our website as well. Playback service will also be available on our website as described in our press release. Please note that comments made today about our expectations for future revenues, profits and other results are forward-looking statements under the SEC's safe harbor provision. These forward-looking statements are based on management's current expectations and are subject to the risks inherent in our business. These risks are described in detail in our annual report on Form 10-K and other SEC filings, which we urge you to review. Our actual results may differ materially from our current expectations. We do not assume any obligation to update these forward-looking statements. Given the pending merger with Veeco, we will not be addressing questions related to the transaction. Please note that today's call is neither an offering of securities nor solicitation of a proxy vote in connection with our previously announced transaction with Veeco. We urge you to read the joint proxy statement relating to the transaction with Veeco once it becomes available. During this call, we will be discussing various non-GAAP financial measures. Please refer to our press release and accompanying materials for information regarding our non-GAAP financial results and a reconciliation to our GAAP measures. Now I'll turn the call over to President and CEO, Russell Low.
Russell Low: Good morning, and thank you for joining us for our third quarter 2025 earnings call. Beginning on Slide 4, we generated solid results in the third quarter with revenue of $214 million and non-GAAP earnings per diluted share of $1.21, both exceeding our outlook. We delivered record CS&I revenue as well as slightly better-than-expected system revenue, which drove the better-than-expected profitability. Bookings in the third quarter declined on a sequential basis, primarily led by a softer power and general mature bookings, which were partially offset by an improvement in memory. While bookings fluctuate from quarter-to-quarter, based on recent encouraging quoting activity and our conversations with customers on their build plans, we anticipate bookings to improve sequentially in the fourth quarter. Before I provide more detail on the trends we are seeing by Market segment, I'd like to touch on our recent transaction announcement. On October 1, we announced that Axcelis and Veeco had agreed to merge to create what we believe will be a leading semiconductor equipment company. We have long admired Veeco's history of innovation and its track record of delivering breakthrough products, and this merger is expected to position the combined company as a key beneficiary and critical enabler of secular tailwinds, including AI and electrification. I want to take this opportunity to recap a few points that we made when we announced this deal and what is highly compelling opportunity for both companies. Starting with cross-sell synergy, we believe each company can open doors for the other. One such example is with Axcelis implant and Veeco's laser annealing solutions, which are adjacent steps and reside in the same diffusion module in the fab. In addition, our combined technical depth is expected to enable us to optimize technology advancements. An example of this is our plan to leverage our deep ion source and component expertise to enhance Veeco's ion beam deposition capabilities and vice versa. Second, from a market perspective, we are strong in Silicon Carbide, while Veeco has an exciting opportunity in MOCVD for GaN on silicon. We believe this combined presence will allow us to be a comprehensive solution provider to the compound semiconductor market, which is becoming increasingly relevant due to electrification, including the growing need for greater power efficiency driven in part by the rise in AI. In addition, we believe Veeco's MOCVD business has an opportunity in microLED as well as an indium phosphide opportunity for optical communication products, which is an emerging data center application. Moreover, we see opportunities stemming from our strength in memory and mature foundry logic, which we believe are complemented very well by Veeco's strength in advanced foundry logic and advanced packaging, stretching across annealing, ion beam deposition, wet processing and lithography solutions. It's also worth noting that the combined company is expected to be better equipped to better serve our customers through access to an expanded installed base supported by stronger aftermarket services. Finally, the all-stock nature of this transaction is expected to position the combined company to have a resilient operating profile and balance sheet post closing, which we believe allows us to invest in our business to drive organic growth as well as return capital to shareholders. In short, by bringing our 2 companies together, we believe we are building a leading semiconductor equipment company with the capabilities, resources and financial foundation to drive sustainable growth and value creation for shareholders and drive meaningful benefits for all our stakeholders. With that, let me now turn back to our Q3 results and the trends we're seeing by market category. Turning to Slide 6. In the quarter, sales to mature node applications comprised almost the entirety of our system shipments, in particular, power and general mature. Now on Slide 7, let me review our trends by end market. Within our Power business, shipments to Silicon Carbide applications grew nicely on a sequential basis. Consistent with our commentary heading into 2025, customers continue to digest the capacity that has been put in place over the past few years. However, in China, multiple customers continue to build out capacity as they strive to address growing demand in the local market, while customers outside of China are making select investments into next-generation technology such as trench and super junction. Moreover, in the quarter, we shipped several tools to multiple customers that have only just begun to develop their Silicon Carbide capability. We believe this is yet another validation of the long-term secular growth opportunity in Silicon Carbide and customers recognize the world's need for more efficient power delivery will continue to accelerate. As the cost of Silicon Carbide continues to decline, we anticipate its adoption in an expanding array of applications will continue to grow, ultimately requiring more investments in technology and capacity. As we've noted in the past, Axcelis is a market and technology leader in high-energy ion implantation, which is becoming increasingly critical for next-generation Silicon Carbide devices. In August, we announced a joint development program with GE Aerospace to pursue production-worthy high-voltage Silicon Carbide devices utilizing our Purion XEmax system, which is our highest energy implanter delivering up to 15 million electron volts in an IMV. We are proud to partner with GE Aerospace on this exciting initiative. In September, we made multiple new product announcements, including our new Purion Power Plus series at the annual ICSCRM Conference, which was held in Korea. The platform is designed to enable improved device performance and increased productivity for next-generation power devices. While the majority of the platform is targeted to the Silicon Carbide market, there are also applications for silicon and gallium nitride. Axcelis has a proven track record of collaborating with customers to develop innovative solutions, and this product announcement is no different. We also have received positive customer feedback about our new high-energy channeling capability and MUSIC, our multistep implant chain capability, which reduces the overhead of wafer transfer time during the implant process, enabling our customers to have increased output with less downtime between recipes. This capability is on tools, we've already placed in the field with our leading customers. And as I said, we are receiving positive feedback. Additionally, Axcelis announced the launch of the GSD Ovation ES, a high current multi-wafer ion implanter targeted specifically for engineered substrates. Turning back to the near-term demand environment in Silicon Carbide, we continue to see select areas of capacity and technology investment, and we expect revenue from Silicon Carbide to fluctuate from quarter-to-quarter with fourth quarter expected to be down slightly on a sequential basis. In our other Power Market segment, ship system revenue also grew on a sequential basis, primarily due to shipments to customers in Japan and Europe. In General Mature, revenue declined on a sequential basis as customers continue to manage their capacity investments given the current demand environment in auto, industrial and consumer electronics. Broadly speaking, we are seeing an improvement in utilization rates. However, this varies by customer and can even vary by fab location within each customer. In fact, we are seeing some signs of improvement in utilization rates with our image sensor customers as camera content on autos continues to rise and smartphones continue to be a strong long-term demand driver. Image sensors require high energy ion implantation, and we are well positioned to address this market as our customers resume capacity build-out investments. In the third quarter, we also shipped an XEmax evaluation unit for a 300-millimeter power management IC application. This is noteworthy because our XEmax was developed for the image sensor market, and yet we are seeing interest in additional applications where this technology can be deployed, namely power. Turning to Slide 8. In Advanced Logic, we continue to actively target next-generation ion implantation applications across multiple customers. In the quarter, we generated revenue from a previously booked system with an existing customer. Moving to Memory. Revenue remained muted in the third quarter. However, we expect sequential increase in the revenue in the fourth quarter as customers expand capacity to address growing demand for AI-related applications. While it is too early for us to predict 2026, given our conversations with customers on the capacity plans, we anticipate our sales to memory market to grow next year, led by increased DRAM and HBM investments. In NAND, customers remain focused on scaling to higher layer counts, which requires deposition and etch trimer-based upgrades, but not incremental ion implant capacity. As a result, we continue to expect demand for NAND applications to remain muted in the near term. However, we are encouraged with some initial signs of improvement in the NAND bit demand and pricing, and we are ready to service market once customers resume capacity additions. On Slide 9, let me wrap up my thoughts prior to handing the call over to Jamie. We are navigating the current cyclical digestion period across our markets exceptionally well, remaining aggressive in our product development and customer engagement while staying disciplined on cost control. As referenced earlier, we are seeing interest in new applications for our high solutions while also executing on our strategy to drive greater adoption of our high current portfolio. Meanwhile, our CS&I business continues to benefit from our focused aftermarket strategy and growing installed base. It remains a foundational part of our company's profitability and cash flow profile and integral to the value proposition we offer our customers. Adding all this up, despite a moderation of demand in our markets in 2025, we have a strong base of profitability and cash flow, which we believe provides a solid platform for Axcelis to execute on our long-term growth opportunities. With that, let me turn the call over to Jamie for a closer look at our results and outlook. Jamie?
James Coogan: Thank you, Russell, and good morning, everyone. I'll first start with some additional detail on our third quarter before turning to our outlook for Q4. Starting on Slide 10. Third quarter revenue was $214 million, with systems revenue at $144 million and CS&I revenue at a record of $70 million, both above our expectations for the quarter. Our better-than-expected CS&I revenue was driven by strong demand for spares and consumables as well as an improvement in our service revenues. We are pleased with our execution in CS&I and our aftermarket offerings are resonating with the customers. Case in point, through the first 9 months of 2025, our CS&I revenue was up 9% on a year-over-year basis despite customers moderating their capital equipment investments. Moving to consolidated sales from a geographic perspective, China decreased sequentially to 46% of total sales, down from 55% in the prior quarter. Consistent with our expectations, our customers in China continue to digest the robust investments they've made in mature node capacity over the past few years. While quarterly revenue by region can fluctuate, we anticipate revenue from China will decline sequentially in the fourth quarter. Turning to other regions. We saw sales to the U.S. at 14%, while Korea declined to 10%. As Russell mentioned, bookings declined on a sequential basis to $52 million, and we exited the third quarter with a backlog of $484 million. Turning to Slide 11. I'd like to share some additional detail on our GAAP and non-GAAP results. GAAP gross margin was 41.6% in the quarter. And on a non-GAAP basis, gross margin was 41.8%, below our outlook of 43%, primarily due to mix. Within systems revenue, we recognized a number of low-margin system installations in the third quarter that we had forecasted to occur in the fourth. Within CS&I, as previously noted, we saw increased volumes of consumables and service contract revenue, which typically carry a lower margin. Nevertheless, we find this encouraging as this tends to reflect increased utilization rates with our customers. GAAP operating expenses totaled $63.8 million. And on a non-GAAP basis, operating expenses were $50.4 million, lower than our outlook of $53 million, primarily due to lower compensation-related expenses associated with the timing of annual merit increases as well as onetime cost savings measures we executed in the quarter. Our non-GAAP results excluded transaction-related expenses associated with the pending Veeco merger, along with other typical adjustments such as share-based compensation and restructuring charges. On that note, in the third quarter, we implemented a onetime voluntary retirement program and recorded a portion of the expense associated with that in the period. Given the nature of this program, we expect to record additional program-related expenses in the fourth quarter. As a result, our GAAP operating margin was 11.7%, while our non-GAAP operating margin was 18.2%. Moreover, in the third quarter, we delivered adjusted EBITDA of $43 million, reflecting an adjusted EBITDA margin of 20.2%. We generated approximately $5 million in other income with the sequential decrease primarily due to foreign currency. And our tax rate was approximately 14% in the third quarter, both on a GAAP and non-GAAP basis. For the fourth quarter, we estimate our non-GAAP tax rate will be approximately 15%. Our weighted average diluted share count in the quarter was 31.5 million shares, and this all translates into GAAP diluted earnings per share of $0.83, which was lower than our outlook of $0.87. However, non-GAAP diluted earnings per share was $1.21, exceeding our outlook of $1. The higher-than-expected non-GAAP diluted EPS was primarily due to better-than-expected revenue, along with lower operating expenses, partially offset by product mix. Moving to our cash flow and balance sheet data shown on Slide 12. We generated $43 million of free cash flow in the third quarter as a result of better-than-expected profitability and a slight improvement in both days sales and days payable outstanding. Turning to share repurchases. In the third quarter, we repurchased approximately $32 million in shares and have $135 million remaining under the share repurchase program previously authorized by the Axcelis Board of Directors. We exited the third quarter with a strong balance sheet, consisting of $593 million of cash, cash equivalents and marketable securities on hand. This includes $143 million of long-term securities. With that, let me discuss our fourth quarter outlook on Slide 13. All measures will be non-GAAP with the exception of revenue. We expect revenue in the fourth quarter of approximately $215 million. And looking beyond the fourth quarter, our preliminary view on the first quarter of 2026 suggests revenues to be relatively similar to our anticipated levels in the fourth quarter of 2025. We expect non-GAAP gross margins of approximately 43%. The sequential improvement is primarily due to a more favorable mix. And we expect non-GAAP operating expenses of approximately $56 million as a result of onetime cost-saving measures in the third quarter not reoccurring and in addition to a full quarter of annual merit increases kicking in for the period. Adjusted EBITDA in the fourth quarter is expected to be approximately $41 million. And finally, we estimate non-GAAP diluted earnings per share in the fourth quarter of approximately $1.12. In summary, we are pleased with our financial execution through the first 9 months of this year, delivering robust year-to-date adjusted EBITDA margins of 20% and strong free cash flow generation of $116 million despite our revenue being down. With a strong balance sheet, we are exiting 2025 in solid financial position, and we are especially excited about our pending combination with Veeco and the opportunities ahead for the combined company. With that, let me hand the call back to Russell for closing remarks. Russell?
Russell Low: Thank you, Jamie. We are pleased with our third quarter performance as the team continues to execute with focus and discipline. Our results reflect the strength of our business model, the quality of our technology and the dedication of our global team. Looking ahead, the pending business combination with Veeco represents an exciting transformational step for both companies. We expect it to broaden our capabilities, expand our market reach and position us to unlock even greater value for customers and shareholders while creating exciting new opportunities for our employees. I want to thank our customers, employees, partners and shareholders for their continued support and trust in Axcelis. With that, operator, we are ready to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Jed Dorsheimer with William Blair.
Jonathan Dorsheimer: Congrats on the quarter. I was wondering if you might be able to describe the dynamics a bit more in the other power category. And in particular, what customers are seeing in terms of in Silicon -- and what I'm trying to get at in Silicon Carbide, your differentiation with high energy is very clear and distinct. And I'm curious what the dynamics are that you're seeing in other power and maybe also in general mature that are driving that business? And then I have a follow-up.
Russell Low: Jed, it's Russell. So yes, so kind of broaden that slightly. So regarding power overall, we are seeing the second half of '25 has been slightly better than the first half of '25. We've talked about different customers from different locations kind of being in different phases. We have kind of Chinese customers for Silicon Carbide specifically adding capacity versus the non-Chinese customers basically doing node transitions. When you look at non-silicon carbide power, so basically silicon power, so that obviously is the largest TAM regarding power in total, right, for us. And I'd say it's kind of ebbing and flowing. We do a nice job in -- for a number of customers with that power. And remember that some of those applications really are quite specific. So they might have a thin wafer application, which is silicon-on-glass or silicon-on-silicon or some other applications. So they're very specific and quite advanced products. And in some of those, there might even be a proton implant on the backside, right? So I'd say that they are still what I would consider highly differentiated products on the silicon power. In addition to -- we've had a very differentiated portfolio and continue to push our portfolio with our latest power series in Silicon Carbide.
Jonathan Dorsheimer: Got it. That's helpful. And then just an update on tariff impacts overall on the business and what you're seeing there would be helpful, too.
James Coogan: Yes. So as for 2025, we continue to manage through the tariff environment as we think about the optimization of our global manufacturing footprint to help support us in that effort. We are fortunate to have the operations overseas. But we're not immune, right, at all to the tariff and tariff-related costs as they do come in. As we look to 2026, it could have a little bit more of an impact in '26 as we move ahead as sort of some of those tariff costs start to move out of inventory and into the P&L. But the team is working now on working to mitigate the potential impact of that. And as we pull our models together for that period, we're going to -- we'll work to try to quantify that a little bit more materially for you guys. I think overall, we've done a nice job in 2025. But again, these are dynamic times for sure, Jed, as the way things continue to sort of ebb and flow with the administration and the decisions that are made around tariffs.
Jonathan Dorsheimer: I will jump back in the queue but nice job managing through the difficult markets.
Operator: Our next question comes from the line of Craig Ellis with B. Riley Securities.
Craig Ellis: Congratulations on the execution in the quarter, particularly the record CS&I revenues. That's really quite notable that you're now $71 million. I wanted to follow up on something that's been fairly topical with earnings quarter-to-date, and it's the broader arc of China demand and acknowledging that Axcelis has a uniquely broad and I think uniquely served customer base there. How should we think about the potential for China to be either a stable market in 2026, a growing market or one where there would be just more digestion at play? And any color on timing for which that might occur? I know revenues as a percent of total are now 46%. So arguably, it's happened year-on-year and quarter-on-quarter. But any color on that would be helpful.
Russell Low: Craig, it's Russell. Thanks for the question. So it's a little too early to say too much about 2026. And clearly, 2025 has been a year of digestion. We believe that China demand in 2026 will depend upon the end demand environment. as well as how much progress they make on the chip self-sufficiency targets. And right now, we believe they're still below those targets. Clearly, China for China and being able to supply domestic chips is a really big initiative for China. And I think they have to continue to invest to achieve this capacity. And I think the markets that we have the most visibility in would be general mature and power, and that's kind of where we're seeing this continued kind of desire to grow. One thing I'd also say, Craig, is so geopolitics aside, our Chinese customers are acting like any of our other customers. They really do want the best technology. They want the highest quality support, and they're actively engaging with us on our road map. So we are very engaged with our Chinese customers. We are aligning our road map so that we can support their long-term growth. And we see opportunities in China.
Craig Ellis: That's really helpful, Russell. And then the follow-up question is related to the tantalizing comments that in 2026, we may be seeing indications for a better memory environment. I was hoping you could go into more detail in terms of what you're seeing in DRAM versus NAND to the extent that it's discernible. I know equipment can flex to either line or either type of line, but just more color on what you're hearing from memory customers. And in the past, you've had 50% share with Korean manufacturers. Is that a realistic expectation as memory starts to reaccelerate?
Russell Low: Okay. So when we talk with our customers right now, it's clear that the demand is coming from, say, DRAM and HBM. I think when you kind of read the news, some of the suppliers of those products are basically sold out for 2026. You do see the high utilization. You do see the upgrade flow. I think the next stages are to bring on new greenfield capacity, right? So you're going to see that happening. So that's kind of one of the things we expect to see. NAND is really -- still NAND is very quiet. I think NAND has been quiet for us for a long time. And obviously, we care about wafer starts for NAND, not whether you build to and to skyscrapers, which certainly, as I mentioned, helps the dep and etch people. So I do think it's exciting that memory could actually be turning a cycle. It's a bright spot for us. And I do think that we will continue to do well when that happens.
Operator: Our next question comes from the line of Christian Schwab with Craig-Hallum Capital Group.
Christian Schwab: Good quarter and guide. Just a follow-up on the memory. Can you remind us in a typical capacity cycle of adding wafer starts, kind of a range of revenue outcomes that historically you have seen so we can get an idea of should we enter an up cycle, the range of revenue outcomes that could benefit you in memory?
Russell Low: So just to double check, Christian, you're talking about how many implanters, the capital intensity for 100,000 wafer starts, that kind of number you're looking for?
Christian Schwab: Yes. So if we -- if there was greenfield facilities available for expansion, obviously, we all know how the pricing environment is. It would make sense for DRAM wafer starts to expand. Does that add $50 potential million of revenue to you on a yearly basis, $100 million? Could you just give us a wide range of potential outcomes?
Russell Low: Yes. So let me -- so Jamie is looking to find the exact number, and we'll give you that -- well, the number, we believe. So NAND and DRAM has about the same intensity. And obviously, we're thinking in terms of they all need high energy, medium current and high current. There's a mix of those tools. For 100,000 wafer starts, thought it was north of -- it's 45 to 55 total implanters, that kind of number.
Christian Schwab: Perfect. And then as you guys are seeing improved utilization, but spotty and general mature, are you guys optimistic that General Mature will see a recovery in 2026? Or is that yet to be determined?
Russell Low: So I think General Mature is going to be driven by the macro climate. So you're looking at consumer spending, automotive and industrial. I think while we're kind of encouraged by memory, we've kind of said in the past, we're kind of bouncing along the bottom. And it is too soon to say that the other markets, namely consumer, industrial and automotive have actually turned. But by customer, you do see pockets of high utilization, but you also see some customers still with lots of excess capacity.
James Coogan: Yes. We might just like you guys were monitoring our customers' sort of public commentary on inventory levels and their performance, right? And I think it still continues to be a bit of a mixed bag.
Operator: Our next question comes from the line of Jack Egan with Charter Equity Research.
Jack Egan: So nice job on the record CS&I revenue. For that, were there any kind of unique or onetime benefits in that number? Or I mean, do you think the current level is pretty sustainable for the near future?
James Coogan: Yes. I mean, again, we saw a little bit uptick from some -- again, we talked about seeing some improved utilization rates. So we saw a little bit of uptick there. We do always have some customers who do some buying as they sort of do some restock and other related activities. I think what we saw in the period, right, relative to expectations was slightly higher consumables in the period, which sort of contributed to some extent to the lower gross margin in the period. That's generally a positive sign. It's one of those trends we talk about as recovery comes into play. Upgrades continue to remain strong, primarily in the memory market for the period as well. So again, I think these are just -- we keep talking about these little bright spots that we see along the path. And again, I think you can tell from our tone here, we're a little bit more comfortable on the memory side, but we still remain a little bit cautious as we look at the remainder of the business in terms of calling a broad-based recovery just yet, but we do feel a little bit more encouraging about where memory is going.
Jack Egan: Got it. Okay. That's helpful. And then on the bookings side, you mentioned that they're expected to grow next quarter. Obviously, there's probably a bit of a normalization after just the lower level in the third quarter. But can you just kind of go over some of the assumptions for growth in the fourth quarter there, maybe like by end market or geography?
Russell Low: I think we're expecting bookings kind of across pretty much all of our customers, right, not specifically a given market segment. I think there's kind of been a little bit of buildup pressure and people will be looking to place POs. I mean obviously, if you focus in on memory specifically, we've kind of said in the past that we typically build to forecast. So you may get the booking and the shipment in the same quarter. So you're not likely kind of to see those necessarily in the backlog.
Operator: Our next question comes from the line of Mark Miller with The Benchmark Company.
Mark Miller: Congratulations on the quarter. You're talking about lower Silicon Carbide in the fourth quarter. Do you see a trend where EVs are going to be utilizing less Silicon Carbide next year?
Russell Low: So I think -- so while the second half of '25 was slightly higher in the first half of '25 for Silicon Carbide, I think it's been -- it's remained healthy, and it's kind of -- the demand has remained. As you kind of talked about, there's kind of 2 camps. There's the camp moving to kind of more advanced nodes and bigger wafer sizes more quickly. And then there's those that are adding capacity with the technology they have. I think one of the things is that as the prices come down significantly within EVs and even hybrids now, we're seeing a lot more penetration of Silicon Carbide into those drive systems, then you're seeing more -- so you're seeing more and more hybrids and electric vehicles anyway, then the penetration into those with Silicon Carbide is going up. And then we're also actually hearing about applications going up. So for example, we're hearing that the compressor for the AC unit on a car is going to be using Silicon Carbide. So that's certainly a positive. And then there's also the new applications, whether it be data center or grid technologies. So I think there's still a long way to go on this electrification. And I think as you see price coming down more and more and more, you're going to see the applications open up.
James Coogan: Yes. And we also think about design cycles for automobiles as well, right? I mean those are a little bit of a multiyear. So cars that are being designed over the last few years now actually have the ability, given the price points of Silicon Carbide to introduce it more meaningfully into the BOM, right, as they're building out those automobiles. Reading some reports out there that, again, we talked about penetration of Silicon Carbide into full EVs being in sort of that sort of mid-single digit, and that's maybe today in the sort of low teens or something like that, Mark. So there's still a lot of room to run in the sort of the automobile market for Silicon Carbide on penetration into that space.
Mark Miller: Okay. Just what's your feeling for EVs next year in China and the United States? Are they going to grow in both areas?
James Coogan: Yes. I think it's hard for us to know. I mean, again, China continues to make some really meaningful progress, right, in the development of their electric vehicles. I think they're doing a nice job in pushing the technology forward. I think the support the government provides to the consumer there to encourage them, right, to move to those vehicles has actually worked pretty well for them. But it's hard for us to know exactly where those numbers come in.
Russell Low: Yes. And the other thing, Mark, so obviously, the Chinese auto market is the largest. I think it's like 30 million out of the entire 90 million cars per year. I think the competition has been so aggressive in China amongst the electric car manufacturers that they're now seeking overseas market in order to kind of broaden their portfolio and improve their kind of ability to weather that. So I think you're going to see more and more electric cars at better price points start to proliferate multiple different international markets.
Operator: Our next question comes from the line of Denis Pyatchanin with Needham & Company LLC.
Denis Pyatchanin: For first question, could you please discuss orders a little bit? Maybe which segments saw the dip in Q3? I see you guys were down to around $55 million or so and what you're seeing into Q4, perhaps also with regards to your full year bookings expectations for full year '25 versus 2024?
James Coogan: Sorry, Denis, I missed the first part of that question. Can you just maybe reiterate that real quick? I just want to make sure we're answering the right question here. I know it's around bookings. I just want to make sure we answer it the right way for you.
Denis Pyatchanin: Yes. Basically, could you discuss which segments saw the dip in Q3 here and then what you're seeing into Q4 and then maybe full year expectations for 2025 versus 2024?
James Coogan: Got it. Yes. So again, I think what we're seeing here is really Power General Mature continue to be a little bit softer relative to the bookings. I think for the full year, we do anticipate bookings to be lower than what we saw sort of during the high days of the high booking rate, although we do see encouraging signs, as Russell noted in his prepared remarks, that bookings will be higher in Q4 relative to what we see here in the third quarter time frame. And then beyond that, we don't typically provide commentary on bookings beyond that, just given the visibility and sort of nature of that process for us.
Denis Pyatchanin: Got it. And then my follow-up, maybe we could discuss the CS&I a little bit. So with CS&I being up this much, maybe you can talk about what you're seeing for utilizations or maybe service intensity by geography? Are there some regions that are particularly strong or particularly weak?
James Coogan: Yes. So we talked about seeing some good upgrade activity and consumable activity in the memory space. That's primarily going to be tied to sort of our Korean memory customers, and we think about that performance. I think we continue to see good business in China relative to CS&I and other related activities. And then as it relates to the other geographies and the other markets, it really is sort of spot customer by customer based on the specific fabs and utilization rates that we're seeing there.
Denis Pyatchanin: What end markets?
James Coogan: Yes. And what end markets and what end customers they have. And so we've talked about the sort of disparity even within a certain customer for one fab to have higher utilization than another, and we do see that today, and that translates into CS&I volumes as well. I think the important piece is, though, we continue to push more of our systems right into the field. And so on a period-by-period basis, we're having more available systems for CS&I revenue, which creates that nice stable sort of floor of revenue for us even in lower utilization and lower system shipment regions. And then the generally above-average margins we get from that creates a nice little stable profit base for us as we continue to look to invest in the business going forward.
Operator: Our next question comes from the line of Duksan Jang with Bank of America Securities.
Duksan Jang: Congrats on the quarter. I wanted to go back to the bookings question. And I know you're not giving too much color beyond specific end markets. But in Q3, you said power and general mature were down, which are 2 of your biggest end markets. And even if Q4 increases -- unless it increases materially, I think your backlog coverage is now only down to 3 quarters. So I'm curious what you're seeing in terms of visibility into 2026. I know Q4 and Q1 were guided flattish, but what happens after that?
Russell Low: Okay. So regarding bookings, I kind of said, bookings can fluctuate from quarter-to-quarter. And I think Q3 is no exception. Based on our conversations with our customers across all segments, we're expecting to see increased activity regarding bookings. Regarding memory, which has always been a kind of almost like a turns business where we're kind of seeing some kind of optimism, we're booking -- we're building to a schedule, if you like. And so we expect we'll get the PO at the same time as we ship the tools. That's kind of where we are right now. I think when you look at that, we've got like 4 to 5 quarters' worth of backlog, still at $485 million. That doesn't include any of our CS&I base. So when you start putting the improving CS&I on top of that, you've got a really solid financial base to which to build the business off. So I think we still believe we're bouncing on the bottom, but we do see some exciting opportunities. And as everybody knows that this business can change quickly and often order intake can improve quickly as well.
James Coogan: Yes. And just to add back, our backlog is comprised of both short- and long-term orders, Duksan, right? So to some extent that current period deliveries don't necessarily always all come out of backlog either because we are building to sort of our forecast, our customer expectations, as Russell noted, we predominantly see that in the memory space, but that can also happen in other parts of the business as customers' needs and requirements shift and change. We want to make sure that we stand ready to be able to capture incremental opportunities for that. So operationally, we can operate pretty efficiently with sort of the type of production visibility that we have today. We've been making some investments in inventory given the strength of our balance sheet to be able to pivot pretty quickly to meet customer requirements that might come in, in relatively short time frames. And in some instances, we can see customer needs, book and ship in orders within a period, not just within memory, but in other parts of the business as a result of that.
Duksan Jang: Got it. And then for China specifically, you said China Q3 was down. You expect it to be down again next quarter. But then a lot of the strength, especially in power seems to be coming from China auto. So what would be the total revenue drivers into Q4 and Q1? Is it mostly the memory customers? Or is it Western power device customers?
James Coogan: Yes. So I don't -- we're not going to give specifics, I think, on markets just as of yet, Duksan, right, to some extent. As we look ahead and see where that comes, we do expect to see some incremental memory opportunities supporting the business as we go forward. I just wanted to remind you, as we entered the year, we anticipated China revenue being down both for General Mature and Power. So what's occurring here is not outside of our general expectations to the overall performance of the business given the digestion of capacity that we see there. I think Russell in his prepared remarks noted that we are still seeing new entrants into the Power market. I think there are customers today that see inflection points. As they look at sort of the long-term trajectory of power, specifically in Silicon Carbide, they still see an opportunity for -- to enter the market and to be successful in that space. So like I said, we're ready to support all those customers as we move forward, and we'll have more commentary on that -- on the future expected performance in our next call.
Operator: Our final question comes from the line of David Duley with Steelhead Securities. David?
David Duley: Can you hear me?
James Coogan: [indiscernible].
David Duley: Okay. I finally figured out the technical difficulties. Congratulations on nice results in a difficult environment. Jamie, I think you were talking about gross margin or systems that were pulled into Q3 from Q4 that impacted gross margins. I was wondering if you could elaborate a little bit more on that? And do you expect that to continue in Q4? And my second question is basically adoption of Silicon Carbide outside of electric vehicles. And if you could perhaps elaborate on which end markets you think will start to contribute in a more significant way?
James Coogan: Yes. So I'll start with the gross margin and hand the second question off to Russell there. But on the gross margin front, so there's a couple of things. So systems mix, so shipped systems mix within the period can impact margin. We did see a little bit of reshuffling of shipped systems relative to expectations. So that's the sort of product mix. The specific items we were talking about related to the installation. So this is really around some deferred revenue that related to systems that had shipped in prior periods or some installations that were at lower margin. We have forecasted those getting signed off and completed in the fourth quarter time frame. The team in the field worked to bring those in and get those closed off here in the third quarter, which led to some of the high -- slightly higher revenue than what we had forecasted in that space, but unfortunately, also carried some lower margin, which put a little bit of pressure on gross margin for the period. Those are, I think, a unique event. Each installation is its own unique event, by the way. So this is not something we will see this from time to time occur. But as of right now, this event will not repeat in that way going into the fourth quarter as we think about what the systems revenue will be overall. So between that product mix, the timing of those installation acceptances and then sort of the makeup of the CS&I are the real drivers of gross margin for the period.
Russell Low: Right, I think your second question was about Silicon Carbide applications beyond electric vehicles, right? So just start off kind of like calibrate on electric vehicles. So I think David mentioned it, but I think it's kind of low single -- low double digits, like the 10% to 12% of cars having Silicon Carbide in them outside of, say, Tesla. I think part of that is because the design cycle is so long for most car cycles that if you want to design Silicon Carbide in, you -- it's going to take you 3 or 4 years for it comes into production. So I think we're going to see a large increase there. And like I mentioned, I also think you're going to see more and more cars taking Silicon Carbide, including hybrids and then needing more and more Silicon Carbide. So that's kind of what we're seeing. And the huge competition and the lowering of costs, I think, is going to grow EVs quite significantly. But that aside, we are hearing about the electric grid and having kind of solid-state devices in the electric grid. We're also hearing about the data centers. But bear in mind, we don't necessarily know what our customers are shipping. But if you listen to some of the kind of reports, some of our customers have products that are going after the data centers, and there's multiple applications in the data centers. It comes in at the kilo volts, jumps down all the way through until it hits a couple of volts or whatever actually on the board. So -- and those data centers are using ridiculous amounts of power, right? And I think the electrification is really going to support the penetration of AI going forward.
Operator: Thank you so much for that. That does conclude our question-and-answer session. And thank you for your participation in today's conference. And this does conclude the presentation of our. You may now disconnect. Good day.